Operator: Thank you for standing by. This is the conference operator. Welcome to the CES Energy Solutions Corporation First Quarter 2021 Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Tony Aulicino, Chief Financial Officer. Please go ahead.
Anthony Aulicino: Thank you, operator. Good morning, everyone and thank you for attending today's call. I'd like to note that in our commentary today, there will be forward-looking financial information and that our results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our first quarter MD&A and press release dated May 12th, 2021 and in our annual information form dated March 11th, 2021. In addition, certain financial measures that we will refer to today are not recognized under cornet general accepted accounting policies. And for a description and definition of these, please see our first quarter MD&A. At this time, I'd like to turn the call over to Tom Simons, our President and CEO.
Thomas Simons: Thanks Tony. Good morning, everyone. It's real pleasure to hold today's call. For the first time since the pandemic began, industry finds self-healing guarded optimism. From my seat as a Canadian running a North American wide company, it appears the survivors and upstream across North America have all quickly learned to operate within cash flow. Thanks to bad public policy from Ottawa, Canadian E&Ps learned this long ago. Now, our U.S. brethren have also adapted. CES is thriving in this new oilfield; revenue, margins, EBITDA were all up quarter-over-quarter. On today's call, I'll provide the customary operations update. I'll remind listeners of our overarching strategy as a company that supplies chemistry to industry. Tony and I will both discuss capital allocation. And this time, I'll try not to interrupt him. I'll talk about organic growth objectives and how we believe we can create permanent value for long-term investors. Tony will give a very detailed financial update, we'll take questions together, and then I'll provide a summary, and then wrap-up today's call. I'll start with Canada. Our mud or drilling fluid business continues its dominance of the Canadian market. We enjoy great market share in the quarter, 35% to 40%, which is really a 10-year plus story now. Unlike a lot of less fortunate OFS companies, our focus but solving customers' problems through applications of chemistry, has allowed us to be nimble and to adapt to change far better than equipment providers. We help oil sands, SAGD customers drill and rake release on AFE or budget and leave a cased well that production can count on. So, we don't wash out the hole allowing wellbore communication. We run appropriate fluids on the build section to reduce risks of surface leaks or issues and we do so with recycled waters. For deep plays like the Montney and Duvernay, we provide AI-assisted research to properly plan fluids for each interval of the well. The shared objective of CES and the customer are always to drill in case on AFE or budget, while giving completions to well that can be reliably produced or fracked and then produced, now or much later. So, a DUC. Again, we do this with changing applications of chemistry and often recycled waters and fluids. Our scale and vertical integration of our products allows our internal supply chain to meet our customers' needs better than our competitors based upon margins and working capital comparisons. It helps to have 15 years of continuous leadership in Canada by Ken Zinger and his team, our technical sales and ops team, supply chain, safety, and back end work hand in glove to the benefit of our customers and shareholders. I'd like to personally thank that group for continuing to deliver as is my personal beginning and background. I'm really proud of you guys. I understand how tough this business is. PureChem, our Canadian production chemical business continues its steady performance. We continue to expand in all the right places, oil sands and deeper horizontals that get fracked. Each is technical and the customer can't risk hiring vendors or suppliers on these types of wells or production that ever let them down, our people get in and keep the work. While our Grand Prairie facility is helping drive our margins, as do our manufacturing and supply chain. As our volumes increase in the oil sands, we may look to expand our throughput in our Nisku facility to support growth. So, to refresh memories, we produce H2S scavengers in our plant in Nisku. We already manufacture these products. This would allow us to increase throughput or production to meet growing demand, always a great thing. Our frac team in pure PureChem is getting some good wins, which create nice contribution margin over our fixed costs. This work is very cyclical as most people know, but it's in our wheelhouse. It can happen off of our already existing footprint that supplies drilling fluids and production chemicals to the same warehouses and yards, same labs and scientists, same supply chain with another sales outlet that adds operating leverage. We've beefed up that team, which should bode well for this pending activity run by our customers. PureChem has a great future and is on track for a fine 2021. Our niche businesses in Canada, StimWrx, Sialco, and Clear all continue to deliver in their own way. StimWrx has continued good performance in Canada and has made great strides entering the U.S. markets. To remind people, we reenter tired old wells and after careful analysis, treat them with specialized acid blends including nanotechnology, which turns those tired wells that are becoming liabilities back into cash flow generators for our customers. Low CapEx, high-touch engineering evaluation to treat the correct wells with the right products at the right dosages. We like this niche business a lot. Sialco was our reaction chemistry business in Vancouver. It continues to support internal supply chain and technology development, while offering us some diversification with revenue into non-energy markets. Clear Environmental continues to keep its nose above water in a very competitive market in Canada, increased activity and the absence of terrible pricing from competitors would be nice, but we aren't betting on those things happening. Gavin Grimson and his team continue to look for innovation that we can capitalize on as a company with scale and science know-how. To conclude on Canada, as Canada gets closer to increased Tidewater takeaway for oil through trans-mountain expansion and LNG on the West Coast, with today's commodity prices, 2021 looks to be a solid year for CES in Canada. I'll now move on to the U.S. AES is shooting out the lights, it moved from 13% market share 18 months ago to 20% plus, and not by using our balance sheet, which has been the customary trick deployed by the very large, integrated or best companies in all crashes. We've done it by focusing on our people and equipping them to solve our customers' problems better than our competitors. We've made previous investments in the right places in the Permian, with the Corpus Christi barite mill, with the Kansas clay plant. Those things have enabled us to build a lot of positive momentum. Our customer mix is expanding and our upside is high and we like our chances in the new era for U.S. producers, where they work within cash flow, while lowering their environmental footprint. Operators reward relationships of trust if we deliver better results than our competitors, and we do, that's why we become the leading drilling fluid company in the U.S. I had the privilege to participate with our bright young engineers and scientists just last week at a technology summit in Texas, led by Richard Baxter, our AES President. As a 25-year plus growing guide, I can assure listeners and customers, AES will continue to help producers grow wells on budget and ideally, while lowering their carbon footprint. That's the goal and how we will hold or increase our position within the market. So, stay tuned for 2021 and beyond. It looks good for AES with these commodity prices and the team we have in place. Jacam Catalyst is our production chemical business in the U.S. led by Vern Disney. We've now fully integrated the two businesses to the benefit of our customers, employees, and shareholders. This allows best-in-class problem solving, using case studies from across all basins in the U.S. or even in Canada as appropriate. Our blending, lab, office, and staging facility and Midland has grown from seven acres only five years ago to 30 acres today. As the U.S. market has stabilized at approximately 11 million barrels of oil a day, we've enjoyed solid results Jacam Catalyst. As new production to offset declines comes from horizontal wells, our volumes and complexity of application of chemistry goes up while the use of CapEx heavy treater trucks goes down. These wells are continuous injection of production chemicals. We've also made modest geographic expansion in the Gulf of Mexico with no outlay of CapEx. Jacam Catalyst really helped carry the ball for CES through 2020 and 2021 looks to be shaping up to be another fine year. I'll now refresh listeners on our overarching strategy and talk capital allocation before turning it over to Tony. Our business strategy is to utilize specialized sales lines, led by working managers in a decentralized capacity. We manufacture, supply, and apply chemistries and minerals. So, minerals being primarily barite and calcium carbonate to energy producers and midstream companies. We can create significant operating leverage by selling drilling fluids, production chemicals, fracturing chemistry, stimulation chemistry, pipeline tank chemistry, off a common platform of manufacturing, yards and warehouses, labs and scientists, a common back end for the business. Future CapEx is maintaining or expanding our fleet of rolling stock or trucks and increasing throughput as appropriate in already existing facilities such as Nisku. We can support double our current run rate with our existing platform before significant CapEx would be required in our main manufacturing facility, our ADA crew reaction chemistry plant in Sterling, Kansas, a world-class facility supported by rail and truck. On capital allocation, our objectives remain steadfast, which are all underpinned by our ability to generate true free cash flow. Our goal is to reduce the share count, which we did in a meaningful way in Q1. We look to substantially reduce the bond when we refinance it. We won't be paying over par for it in the market, though I can assure people of that as we're looking to pick it up in the open market. That will free up a nice amount of cash for equity holders. As we move through those two objectives and feel the pandemic is settled and energy markets are stable, we'll look to resume returning money to shareholders. That has been our hallmarks since IPO of our private business in 2006; Make Money, Share it with Equity Holders. By staying focused on our leading North American land position and drilling fluids, growing our number three position in production chemicals, and getting valuable contributions from our niche businesses by being obsessed with working capital ratios, getting paid on our AR by working for strong customers. By focusing on our people, we can keep creating permanent value for listeners on this call. We continue to pursue new technologies and geographic expansion. As those unfold and deliver financial results, we will update people accordingly. I'll now turn it over to Tony.
Anthony Aulicino: Thanks Thomas CES' first quarter results continued our streak of strong sequential improvements in revenue, EBITDAC, margins, and cash flow generation. During the quarter we also stayed focused on working capital optimization and preservation of strong balance sheet and liquidity metrics. CES generated revenue of $261 million and EBITDAC of $34.4 million, representing a 13.2% margin and a significant improvement from the 11.6% last quarter, while generating very strong funds from operations of $27.4 million for the quarter. Throughout Q1, we have benefited from further strengthening and demand for oil and gas, improving customer economics, and stabilizing industry sentiment bolstered by COVID-19 vaccine deployment. CES has been able to leverage its established infrastructure and strong industry positioning to capitalize on these positive developments as demonstrated by significant sequential improvements in financial results, despite temporary lost revenues and supply chain disruptions related to winter storm Uri. As activity levels continue to improve in the quarter, CES invested in working capital and remain disciplined on capital expenditures, while retaining substantial liquidity and balance sheet strength. We exited the quarter with a net draw on our senior facility of $4 million compared to a net cash balance of $18 million at the end of 2020. The increase was driven primarily by investment in working capital and higher activity levels across business lines and by the repurchase of 6.3 million shares for $9.5 million at an average price of $1.50 per share. Since March 31st, industry activity has continued to improve in both production chemical and drilling fluids end markets, prompting modest investments in working capital offset by strong collections and as of today, the net drawn on senior facility is $5 million. CES' Q1 revenue of $261 million represented a sequential increase of $48 million or 22% from Q4 2020. Revenue generated in the U.S. was $168 million or 64% of total revenue for the company. U.S. revenues were impacted temporarily by lower activity levels and lost revenues resulting from winter storm Uri during February. And while activity levels were down from comparative Q1 2020 period, we participated in an improved drilling environment on a sequential basis and were able to increase U.S. drilling fluids market share to another new record of 22% in the quarter. Likewise, in Canada, with revenue of $93 million in the quarter, both our production chemicals and drilling fluids, businesses participated in improving drilling activity levels and the reversal of temporary shut-ins on a sequential basis, while experiencing year-over-year declines in activity levels from pre-pandemic levels. CES achieved adjusted EBITDAC of $34.4 million in Q1 compared to $24.7 million in Q4 and $51.1 million a year ago in Q1 2020. Included in these results for the quarter is a $1.7 million benefit, recognized by CES from the federal government's Canada emergency wage subsidy program, which has been instrumental in allowing CES to mitigate further Canadian personnel reductions throughout the downturn. Adjusted EBITDAC as a percentage of revenue in the quarter was 13.2%, representing a significant improvement from the 11.6% recorded in Q4 2020 as the company benefited from improved competitive positioning, the reversal of certain production shut-ins in both the U.S. and Canada, improved drilling activity, increased market share, and modest improvements in pricing. CES has continued to maintain a prudent approach to capital spending through the quarter with net spending of $3 million. We will continue to adjust plans as required to support growth throughout divisions as industry conditions continue to unfold. For 2021, we continue to expect capital expenditures to be up to $30 million, of which $10 million is pegged for expansion and $20 million approximately for maintenance CapEx. Our balance sheet continues to benefit from prudent structuring and maturity schedules of our credit facility and notes. We ended Q1 with $320 million in total debt comprised primarily of $280 [ph] million in senior notes, which don't mature until October 21st, 2024. At March 31st, we had a net draw of $4.1 million on our senior credit facility with a maximum available draw of approximately $235 million CAD equivalent, providing us with ample liquidity. Throughout the pandemic, we've benefited greatly from the high quality of our customers and diligent internal credit monitoring processes. We have continued to maintain a strong collection record, minimizing accounts receivable losses and did not record any credit loss provisions in Q1 2021. We continue to remain diligent and focused on strong AR collections, minimal bad debt expense, inventory management, and strong credit metrics. These merits of our balance sheet, liquidity, and CapEx-light cash flow generating business model were also recently recognized by S&P and DBRS credit rating agencies through upgrades to B Stable and B High Stable respectively. We remain responsibly cautious on our outlook for the remainder of 2021 and beyond. CES continues to believe that coming out of the downturn, it can continue to grow its share of the oilfield consumable chemicals markets in which it competes. Our underlying business model is CapEx-light and asset-light, enabling generation of significant surplus free cash flow. We will continue to assess share buybacks and bond repurchases in the context of our assessment of market conditions, market prices, and certainty around our surplus free cash flow levels. As our customers increasingly regulate their business models to maintain spending within cash flows, we believe that CES will be able to leverage its established infrastructure, business model, and nimble customer-oriented culture to deliver strong financial performance. Operator at this point, I'd like to turn it back over to you to allow us to take questions from the audience.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Aaron MacNeil from TD Securities. Please go ahead.
Aaron MacNeil: Hey guys. You've obviously had some nice success growing the rig count in the U.S. through market share gains. But assuming absent future market share capture, how have the discussions customers evolved since the last conference call? Obviously, another quarter in and we have another round of pledges from public companies that they're going to remain disciplined, but is that consistent with what they're telling you?
Thomas Simons: Sorry. Aaron would you repeat the last part of that? Is it -- are you asking if they're signaling the same thing to us as investors? Did I hear that right?
Aaron MacNeil: Yes, you got it.
Thomas Simons: Yes, we track the transcripts and disclosure of our biggest customers. And then our account managers watch their own customers, where maybe Tony and I or Gary are catching all that stuff. I think it's more than the pledge. I think that's what call it the analyst community has dubbed it, but my observation is these companies are adjusting quickly to create equity value for their shareholders so that we aren't left with the Seven Sisters from Standard Oil in 10 years. And so they've pivoted to spending 65% to 70% of cash flow and then putting the balance back into share buybacks and dividends. We saw our biggest customer adjust their tone on their call just last week and I think that went over well. So, I think it's more that it's self-preservation, Aaron, we do have a good amount of work in the U.S. with privates that are bound by the same, call it, cash flow restraints, they got cashed up with investors, outside of kind of the constraints of the capital market. And those guys are running their businesses to build and be purchased, like what happened with Double Eagle III and it worked. So, my view is that shale oil in the U.S. is not going to flood the market and drive oil prices down and the unintended consequence of the COVID induced oil collapse is that natural gas has become economic. The Double Eagle guys were paying their overhead with their gas; a year ago, they probably want it to flare it. So, we see all sorts of positives and we don't see our customers needing to outspend cash flow. And they know not to because they can't access capital in the equity market. So, my long answer is, I think that human nature's going to rule the day, and these companies are going to run to survive and that's what investors want from them. And if they want to call it a pledge, great, but I don't think the money's there to flood the market because they can't out -- they can't tap out excess cash flow for 20 years, up until what 2015 upstream, outspent cash flow by 30% for 20 years, if we under-spend it by 30%, that seems pretty bullish for commodities to this guy.
Aaron MacNeil: Fair enough. Tom, you also touched on this a bit in your prepared remarks. But can you maybe walk us through the composition of treatment points in more detail? So, I'm just making up the numbers here. But let's say half your treatment points were verticals this time last year? What would that number be with Q1? And then maybe -- think about it differently on a same-store sales kind of basis, how might average revenue per well have changed over the last 12 months?
Thomas Simons: I'm not playing possum here. I really don't know the answer to exactly verticals to horizontals. If we can break that out and share it, we would do it with everyone. What I can tell you is that new production, as everyone on this call knows, only comes from horizontals. Those wells are not created with treater trucks, which is basically a milk truck for oilfield chemicals expect it $250,000 and it squirts out small volumes in batches. These big horizontals are continuous treatment, very technical; each well can be different from each other, never mind formations being different. So, they're engineering heavy. It's not as commoditized as vertical wells, so as the 11 million ships more to shale, and less from verticals, us and ChampionX and Baker will all benefit. I would say we're big enough that whatever the ratio is in both countries, I would hazard a guess that we're within a margin of error of that. We're big enough now in the market, that I think we would track that metric.
Aaron MacNeil: Understood. And then Tony, I got one for you as well. Margins were also pretty strong in the quarter, obviously, a function of the wage subsidy to a certain extent. But the other sense of what EBITDA would have been in this quarter if you had made any changes to the cost structure over the last year. And how much of that reduction is permanent versus something you might have to give back in a recovery?
Anthony Aulicino: Well, we run a decentralized model as everybody knows and each of the Divisional Presidents made decisions on what to do and when to do it on the way down. And to be clear, I think we mentioned this during last call, each Divisional President has the autonomy to -- have the autonomy to move wages back when we felt it was appropriate and that's what happened. So, by the time we hit the end of last year, much of the salary rollbacks, except for the Executives, was rolled -- was reinstated. And as of January 1st of 2021, all of those salary reductions and were reinstated. So, that cost structure that you saw for Q1, that's representative of what we'll see going forward. We did, unfortunately have to make some headcount reductions over the year and we're not back to pre-COVID levels by any stretch right now. But we invested in the people, we reinstated those salaries, and you saw the results. So, in terms of answering your question on how that EBITDAC would have been different, there wouldn't be a big difference, because that that comp level is here to stay as we reinstated it and we may have to make some headcount additions as the guys continue to grow and improve their businesses.
Aaron MacNeil: Perfect. That's all for me. I'll turn it over. Thanks.
Operator: Our next question comes from Matthew Weekes from iA Capital Markets. Please go ahead.
Matthew Weekes: Good morning. Thanks for taking my questions. The first was just a clarification, you did say earlier in the call that where you are in the U.S. AES drilling fluids market right now that with the recent gains you've made, that you're the leader in that market now?
Thomas Simons: Yes, we believe we're equal with Halliburton's drilling fluid business in terms of size in the market. I'll note that we have zero activity in the Haynesville. That isn't a market that we can see a way to make money in. And when you combine Canada and the U.S., we're comfortable saying that we're number one on land in North America.
Matthew Weekes: Okay. Thanks for that color. And I'm just wondering, I think the expectation that you had said was that you kind of continue to either maintain or gain more market share going forward, is it possible that as activity recovers and you see maybe some of the more marginal players coming back to the market that you see a little bit of pressure on the share going forward?
Thomas Simons: I can't predict what the customers will do. But we didn't get the work in the crash by giving away too much inventory that we got caught holding, which has happened to the bigger, less nimble companies, and somehow, even some smaller companies. So, through M&A, there might be some choppiness and rig count, but I don't believe we're going to lose work based on performance, which the customers all measure in different ways. And one of the ways they're starting to measure is on ESG. So, we believe our science-first approach, that we don't really sell other people's products, and run lean safety and have no science people, which helps those mom and pops make money. And I know how that is, because that's how we started this in 2001. Ken and I started this out of a couple of red Ford F150s. Those guys are always going to be in the market. They're in the production chemical market all across the U.S. As the customers get bigger, to remain competitive for cost of capital, as they focus on ESG and reducing their carbon footprint, I think it gets harder for the mom and pops to get what we call buddy work, because you can't hide their deficiencies for management as a drilling person and there's a lot of eyes on this stuff now. It kind of the focus shifts, depending where all the money's getting spent. But we feel comfortable that we can hold our position. Will our competitors come after it? Of course, but we didn't get it by putting our products on sale. So, while we are pushing price increases through our inputs are going up, they're going up for everyone. We're seeing commentary from E&P executives that they know that completion and chemical costs need to go up because the inputs are going up; their supply chain validates that claim by the supplier before they allow increases to the vendors or suppliers. So, I think our chances are pretty good. But there will be a bit of choppiness through M&A, but I don't think we're getting run off for performance. And if people wanted to hire people, because they were cheap, they always had a chance to do that through COVID and we went up, not down.
Matthew Weekes: Right. So, you're saying it's really more of the technical side of things where you're waiting the new work and you haven't made any concessions on price, then?
Thomas Simons: Well, everyone made concessions a year ago, anybody in my chair that says they didn't; I don't know how their results are today, because they don't have a book of business to try to manage back up. But we think we'll hold it, we don't have a history of spinning the bids and giving back what we win. So, absent M&A, we're pretty confident. And even with M&A, we work for all of the super majors in North America now, we're ISO certified. We're viewed as a major by the engineers and supply chain in all the sales lines that we offer our customers, because we're a basic manufacturer, which in some of our business lines, even the integrated service companies like Hal and Slum are not integrated in. So, that's why ChampionX, for example, beat Hal and Slum in production chemicals, and that's why we beat them in production chemicals. So, -- and we've taken that advantage and put it into our mud business, which is why we've passed both of those guys.
Matthew Weekes: Okay, thank you. That's helpful color. I'll turn the call back.
Operator: Our next question comes from Cole Pereira from Stifel. Please go ahead.
Cole Pereira: Good morning everyone. Tom, coming back to your comments on U.S. drilling fluid market share and E&P, I mean, kind of seems like it's fair to say that a lot of this market share capture is and maybe will continue to be driven by some of the private that are you just able to share this is a function of some of your existing private customers maybe becoming more active or if there's some new customer wins on that side?
Thomas Simons: There's a good healthy chunk of privates working, but I'll reiterate, your peers in town pointed out to me at coffee a couple of years ago that we were perceived to mainly be EOG's mud vendor and that we built a company around that. So we quickly ran the traps in here. And inside of our public disclosure is information about the market cap and the percentage of our revenue. We're working for the super majors in the different verticals we have. So, the answer is that the growth has come from privates, but also the biggest public companies in the world.
Cole Pereira: Okay, great. That's helpful. And obviously, revenue is very strong. In some of the drilling fluid market share played a role there. But can you maybe just add some color just on sequential pricing dynamics across all your service lines?
Thomas Simons: Yes, all the customers want to pay less and our inputs are going up. All of our competitors have the identical dynamic. Baker and ChampionX are out live with price increases that they tell their customers about through letters and press releases. Our sales people are there with their hat in their hand, truthfully explaining our inputs. And where we can give a break on something because of manufacturing, you horse trade some of that. So, these relationships of trust are built on transparency. And obviously, the COVID discount needs to go away for all service companies. We didn't make 13% because everything's on sale. So, we're not going to specify who's paying whatever. But we're going to work through the lumpiness of supply chain better than our competitors. I'll remind people what our business really does is we procure commodity chemicals, or basic minerals, and then we finish them. So, we crushed minerals, make them into powder, and then either pneumatically put them into a drilling operation or put them in through sacks and super sacks. So, basically, a tout. With chemistry, we buy commodity chemicals, we rail or crop it into Kansas, or we bring it in off the coast into Vancouver at Sialco, then we react or cook those commodity chemicals into specialty chemicals. Then our super smart people in white coats and our field savvy technical people formulate them into finished products. All of that allows us to trap all the marks and control our own fate, and bring innovation to customers faster than people that resell other people's ideas. Everyone that follows the space knows that first-to-market with a new product can be a bit of a honey hole for the service providers. And then what happens, the competitors knock it off and because they don't have a track record, and the customer doesn't trust them, they have to induce them with low prices. So, we're always going to be reinventing ourselves and being basic for making the molecules that allows us to have an advantage. It's why we're neck-in-neck with Baker and ChampionX in this North American market. And it's why our mud business has got to be the number one in North America and it makes money unlike a lot of our competitors.
Cole Pereira: Okay, got it. That's helpful. Thanks. You beat some comments earlier just about focusing on returning capital to shareholders. I mean as things continue to improve, how do you think about something like reinstituting the dividend? And if so, how should we think about that?
Thomas Simons: You should not expect it anytime soon. But we are committed to doing that. We did that for the better part of 15 years, we returned what $330 million plus to people, Tony, since IPO, we took this business public without even having an operating line, because it generates cash. We've built up $360 million I think of property, plant and equipment, while growing this business, some through M&A, but a lot of it organically. We don't need very much more infrastructure, maybe the odd expansion for throughput, like Nisku, which is an indicator that we're predicting will outsell our internal supply chain in the future and we need to get in front of that. But cap -- the sequence will be keep packing away at the share count with cash that we have; we're not going to borrow money from the bank to buy shares. When we refi the bond, we're going to refi a smaller number, we're going to do that by building a war chest over the next period of time. And once those two things are complete and we feel confident about the state of the industry, then listeners can expect us to consider returning some money to them.
Anthony Aulicino: And just to add to that briefly, from a financial perspective, ironically, the current environment that Tom laid out and that everybody appreciates, where the industry is living within their cash flows and North American producers are very responsible on production and growth levels, which means stable production or very modest growth. Those attributes are hugely complimentary to the cash flow generating nature of our business, because we are built to do over $1.3 billion of revenue per year, like we did in 2018 and 2019. We are built to optimize working capital use as a use of capital as we've demonstrated. And we've gotten better at that, number one. And number two, if the growth levels have been tempered, and I believe they have in North America, for sure and perhaps globally, that actually all means that we are going to be generating even higher levels of free cash flow. And as we continue to pick away at the share count like we did, we bought back about 2.7% of outstanding shares since the beginning of the year. As the math gets you to a higher free cash flow per share, which is paramount for us and that gives Tom, and me, our partners, and the Board levers to talk about things like a dividend sooner than we thought we would have been able to talk about it at least.
Thomas Simons: And I'll add something because there's a lot of very smart people that follow the company that are sort of poking me to quit being so conservative. While I've been in this chair of taking our private business public, we've had the crash of 2008-2009, we've had the crash of 2015-2016 and the crash of 2020. In all three cases, our working capital harvest has allowed us to zero out our bank debt. If we can run this business, and largely stay out of our bank line, what do we get to do in the next crash? A lot. So, if there is another one, while I'm still in this chair, we want to have been somewhat conservative, as we deploy capital over say, the next 12 to 24 months, mindful that await 2008-2008 had nothing to do necessarily, with demand of energy, even though high oil prices probably weren't great for the economy. And in 2020, 14 months ago, things looked like roses for the industry. So, I'm mindful the things that are outside everyone's control in the industry and outside the control of OPEC, can bring this industry to its knees. If we can harvest a couple hundred million dollars of working capital and not owe the bank any money, we're going to be able to create a lot of permanent value for people on this call. So, we're not going to go crazy, and try and make everyone happy at once now, because we can make the long-term investors in this business, a lot of money if we play this properly.
Cole Pereira: Okay, great. Appreciate the answers. That's all for me. I'll turn it back.
Operator: Our next question comes from Keith MacKey from RBC. Please go ahead.
Keith MacKey: Hi, thanks and so good morning. My first question is just maybe the pace of the rebound in the production chemicals division, I'm just wondering if you could give any kind of color on the breakdown of the say recovery in chemicals for production applications versus fracturing applications?
Thomas Simons: In the U.S., Keith, a very modest amount of frac revenue happening in the Permian for us. I don't know if we've sold $1 or that bar in the U.S. in the quarter. So, it's all specialized products for frac or drilling frac plugs. In Canada, we are getting some traction supplying FR and other chemistries to end users. So, there is some EBITDA contribution there. And our costs are really a small team of experts because we've always had the ability to make or procure and then value add the chemistry and deploy it. So, if I understand your question, right, pretty minimal contribution inside the chemical businesses from frac. But there is upside, we think, in Canada, and out of our Carlyle facility, we can reach down into the U.S. So, there is some chance there, but the FR market is very competitive. Those products -- the liquids have a shelf life, we're not interested in investing in working capital that we get left hanging with. So, having spoiled inventory, it's one of the challenges for the pumpers. You've got to have lead time on this stuff. And what's happened, in my opinion, is the drillings become more reliable than the completion. If the well was left with the liner with the right fluid in the hole that prevents stress corrosion cracking from acid gases, that exists in a lot of these formations. So, CO2 and H2S, which everyone in industry has learned the hard way. Those wells can be drilled and left for a better day when they can get a proper return for the commodity. So, frac we think will be volatile and choppy. But in certain markets, we're going to participate and make some money. But in Q1, it's not a big factor of how much money we made.
Keith MacKey: Got it. Okay, thanks for that. And lastly, apologies if I've missed this; can you maybe just run through your current job count in the U.S. by basin, if you've got that?
Thomas Simons: We have 30% of the Permian market. I'm afraid I don't have the breakdown off the top of my head, but it would be roughly say 50 of the 86 or 88 jobs running out there, I think off the top of my head. I don't want to guess, Keith, but it's concentrated in the Permian. It's a decent amount of business in the northeast U.S. And then there's a little bit of work in the Rockies and a little bit of work in Oklahoma and then we're starting to see some action in South Texas. And of course, we've always had a nice book of business in the Eagle Ford.
Keith MacKey: Got it. Okay. Thanks very much. That's it for me.
Operator: Our next question comes from Tim Monachello from ATB Capital Markets. Please go ahead.
Tim Monachello: Hey, good morning, guys. Quick one on CapEx here. Over the last three quarters, you guys only spent about $2 million on maintenance CapEx, the guidance for the year is 20 million, I think that's mostly rolling stock. I'm curious if that's just a conservative number or if you actually expect to get there? Has there been any maintenance spend deferred in catch up on through the year?
Thomas Simons: Clearly, there hasn't been any maintenance whatsoever that's been deferred. That's first and foremost in our CapEx considerations and that will always be the case for ISO, for safety, for being able to beat our customers with our manufacturing and technology. Our rolling stock amount and the number of vehicles has come down, and will continue to come down a little bit just because of the nature of the business and some of the contraction in parts of the business. So, that maintenance contracts estimate that we have at $20 million, that could be a little bit high. But again, we have to watch it through the year.
Anthony Aulicino: And Tim I'll maybe try and explain one of the nuances to give people comfort around the fact that we didn't neglect maintenance. Unlike, say, a rig company, or a pumper that sets something in a yard and doesn't maintain it because it's not working. Our trucks are driving around every day. So, the maintenance has to be current on them for reliability and safety, because our people are in them. So, our maintenance hasn't missed a beat and then the $10 million that we've put out for growth that could go towards Nisku throughput expansion, or other odds and sods.
Tim Monachello: Okay, great. That's a good segue for the next question. You mentioned that you've got double the capacity in Jacam Catalyst. You guys have done some expansion in Canada and in U.S. over the last few years. So, well based on your market share today within your businesses, where do you see -- at what rig count in Canada and U.S. do you think you need to start spending more materials growth CapEx?
Thomas Simons: The CapEx for drilling, I don't think we're talking about that unless people are tapping the equity market. We ran -- I'll remind people 200 drilling fluid jobs in the U.S. at times in the past and we ran that same job count in Canada, before JT got into office in Ottawa, and all of our customers couldn't access equity, or bond capital. So, the machine for drilling can handle way more volume. That's why I specified that I think we can go something scaring double our revenue before real money gets spent in Kansas or in Midland or Grand Prairie to add manufacturing capacity, or throughput capacity in these. So manufacturing being reactions, or throughput I'm calling blending in places like Nisku or Grand Prairie or Midland. So, unless people are tapping the equity market or willing to go spend bond-debt on drilling, I don't think we're spending money on our drilling fluid business. It's just the business that needs to stay nimble. And as Baxter says, make money for the mother, ship when it's there to get and to keep your team in place when industry's quiet, so you can live to fight another day. The CapEx would come as revenue gets much higher, which would happen through more production chemical treating, expansion of our frac business, expansion of pipeline treating, or possible geographic expansion.
Tim Monachello: Okay, that's helpful. Then last thing here for me. There has been a lot of talk over the last couple of years anyways and it seems to be gaining traction around just digitalization within the energy services space. You've got a lot of companies rolling our digital platforms that enable customers do procurement online directly service providers and interact with engineers and improvise data. I'm wondering what's CES' digitalization strategy, if that makes sense within the markets that you operate?
Thomas Simons: It's one of the ways that we've reduced working capital so effectively. We've dropped working capital, by what over $0.05 of over $1 of revenue since you've been in the chair, Tony?
Anthony Aulicino: Yes.
Thomas Simons: $0.07. That's one of the benefits Tim; it allows us to better do offset research, allowing us to more reliably convince the customer not to overstock growing locations with contingent products rather than letting the company man. Remember a well we drove 20 years ago, that took loss circulation, but not remembering the surface casing now gets set 200 meters deeper. So, AI has always been part of our strategy to get work, improve our financial metrics, I think. I'll just say it; GE blew up when they bought Baker, thinking that sensors could replace all the people in the field. That to me was almost insulting to industry. I believe energy and healthcare use technology more than any other industries in the world. We're drilling holes in the ground, two to five miles deep and then turning them sideways for a couple of miles, knowing exactly where the pipe and bid are and then poking holes in the pipe, shattering rock with water and sand and keeping it open. And extracting oil and gas that it looks to me people in the Eastern U.S. and Central Canada just realize they can't live without. And so to me, the industry's always had digitization, it's become a bit of a buzzword. We're not looking to displace our field workers with sensors. They're a point of contact with our customer. They are expected to know the business as well as the customer and in most cases, better for what we specifically do. And it's one of our competitive advantages. But it certainly is allowed us to actually create financial value for shareholders by lowering working capital. And it's part of why we're up in markets churn all our segments, because we're using it effectively. We're just not out pounding our chest, because our experience and why I don't talk about specific products anymore, is that competitors steal the idea and then do it for less.
Operator: [Operator Instructions] This concludes the question-and-answer session. I would like to turn the conference back over to Tom Simons for any closing remarks.
Thomas Simons: Thank you. In summary, our focus remains to hold and build upon the successes we created through 2020 and into Q1 2021. We will watch working capital closely. We'll be prudent with CapEx. We'll solve our customers' problems better than our competition. We will maintain our decentralized approach. We'll navigate supply chain issues facing the entire industry better than most because we sell supply. We'll continue our march towards a lower share count, a smaller bond upon refi and in time, a renewed return of cash to equity holders. I want to thank our employees and customers. We're excited for 2021. That ends today's call.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.